Operator: Good morning, ladies and gentlemen. Today is Wednesday, December 14, 2016, and welcome to the Butler National Corporation Second Quarter Fiscal 2017 Financial Results Conference Call. [Operator Instructions] Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. 
 I'll now turn the call over to your host. Mr. Drewitz, you may begin. 
David Drewitz: Thank you, and good morning to everyone and Merry Christmas. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbors provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risk and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures.
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances.
 Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission.
 Well, with that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, Mr. Drewitz. Good morning, ladies and gentlemen. We appreciate your taking your time to join us on this call, and we'll review our performance for the last 3 and 6 months. 
 We did file the 10-Q yesterday, as you know, and the press release that supported the net -- announced this telephone call, and we are ready to discuss that. We're pleased with our performance so far this year, fiscal 2017, that ends in April of 2017. 
 As you know, just on the press release, our net revenue was $11.7 million, $10.1 million and $12.8 million for the last 3 years in this quarter. For the 6 months, we went $24.1 million, $21.8 million and $24.2 million. So we're kind of the same revenues we had for the 6-month period ended in October 31, 2014.
 Our operating income, however, is significantly better for that 6-month period. You will notice that goes from $1.2 million to a negative $200,000 to a positive $1.875 million, which is a nice improvement as far as we're concerned. We feel real good about the last 6 months. We -- Hopefully, we can keep that moving. 
 Net income as you see for the 6 months ended October 31 this year is $743,000 after tax. Last year, it was a loss of $459,000 and the year before, we made $282,000. The quarter, however, we made $519,000 in 2016, a loss of $478,000 in 2015 and a profit of $29,000 in 2014.
 We'll discuss the reasons. But primarily, we have reduced costs in a number of areas and our product mix has changed a little at Avcon to give us a little better margin. Our long-term obligations have really gone down about $1.2 million or $1.3 million in the last 12 months, which is a reduction of debt through the casino and at Butler National.
 Our stockholders equity, of course, has gone up, as you would expect. The new product development, in 2014, we spent $759,000. In '15, we spent $937,000. This year, we've spent $717,000 in the 6 months of this year. So we did reduce that somewhat from 2015 primarily because a lot of those projects were completing. Some of that is reflected in the growth in the revenue. And we expect that to be even more significant as we go forward. 
 So that's Page 1 of your press release. And the percentages, of course, are on Page 2. And that's -- there are some dramatic increases there. Revenue increased 27% in the 3-month period. Aerospace, up 84%. 5% in Professional Services revenue. And as we recall, a year ago, we had lots of programs going on at the casino level, but they didn't produce the revenue that our marketing programs are now producing. So we have changed that. 
 We've reduced the marketing costs somewhat and we've had some cost reductions out there, and that has significantly improved the profit at the casino, of which we get 60% of. At Avcon, of course, we've stayed busy at the aerospace side for the primary part of that is Avcon. And of course, Tempe is contributing significantly to those numbers. So the military side of it and the special mission side are both doing well this last quarter and year-to-date. So we're pleased with that.
 The net income, as we discussed a while ago, is $519,000 versus a net loss of $478,000 and both of the segments produced a good contribution. And we've covered the investment in the R&D. We are excited about the future, and we're focused on the development of new products, numerous business development opportunity and in increasing revenue and managing costs. We think we've managed the cost fairly well this last 6 months. We're down quite a bit in the cost area. 
 I think I've covered -- I don't want to go through all the details of the percentages on Page 2, the Professional Services and aerospace, I think we've covered that overall. If you have questions there, we'll try to answer them. 
 The other significant item is the backlog. Sitting at about $8.2 million, down a little bit from -- for the year. But we expect that to return to the $10 million level in the next quarter. So we are shipping -- we're getting the orders and shipping basically what we're getting and maintaining that backlog out ahead of it. Everybody feels good about the backlog, and they're comfortable with the jobs, they're not going to quit tomorrow. So I think that's good. I would call your attention, as David has, to the forward-looking statements. And this report are only predictions and actual events or results may differ materially as we've all experienced over the last couple of years. It's been a real up-and-down situation. I think this is the first time in a few years that we've put together 2 quarters with this kind of profit. And we'd like to continue this the rest of the year.
 And I -- Craig, do you have any comments? 
Craig D. Stewart: That's a -- it's also the first time that we've had all 3 phases in aerospace that are being profitable, and business is strong and contributing to the backlog and the revenue line. Avionics was strong. I think we're seeing the revenue starting to be generated by the STC work we've done in Avionics group. Modification, we've still got our strong backlog. And the Gun Control Units and defense products that are out in Tempe are -- should continue here for the next few months. 
Clark D. Stewart: Thank you, Craig. I think, David, we're ready for questions, and we can move along here. We apologize for it being such a short notice from the time we issued the 10-K until we had the telephone call. But our schedule really -- if we didn't do that it'd be middle of next week before we got it done. So we decided to do it sooner than later. We appreciate your patience. David? 
David Drewitz: All right. Let's open up -- let's open it up to the calls. Erica, can you open it up to the calls? 
Operator: [Operator Instructions] Our first question comes from Tim Macmillan. 
Tim Macmillan: Clark, you mentioned in the past with the partners on the casino, is there anything you can tell us as to what's going on with the financing of the building and so forth? 
Clark D. Stewart: Well, we're still working on the financing of the building. We -- that's about all I can tell you. I would tell you that I thought we'd be able to announce past -- last quarter we had it done. But we haven't got it done yet. It seems to float around on us. So the answer to your question is we are working on it, true. When it's going to happen? I can't tell you. I don't know. I mean, I would have tell you if I knew, but I don't. 
Tim Macmillan: You're optimistic it will, you just don't know when. Is that a safe assessment? 
Clark D. Stewart: And that's a safe bet. Yes. But I -- don't buy or sell based on my safe bet. 
Operator: [Operator Instructions] At this time, we have no further questions. 
Clark D. Stewart: All right. Very good. Thank you all for joining us today, and you all have a nice holiday season and a Happy New Year, and we will be talking to you next year. Thank you very much for your support at Butler National Corporation. Have a great day. Bye. 
Operator: This concludes today's conference call. Thank you for attending.